Operator: Good day and welcome to the Activision Blizzard Q1 2016 Earnings Call. Today's conference is being recorded. At this time, for opening remarks and introductions I would like to turn today's call over to Amrita Ahuja, Senior Vice President of Investor Relations. Please go ahead.
Amrita Ahuja - Senior Vice President-Investor Relations: Good afternoon and thank you for joining us today for Activision Blizzard's First Quarter 2016 Conference Call. With us today are Bobby Kotick, CEO; Thomas Tippl, COO; and Dennis Durkin, CFO. And for Q&A, Eric Hirshberg, CEO of Activision; Mike Morhaime, CEO of Blizzard; and Riccardo Zacconi, CEO of King, will also join us. I would like to remind everyone that during this call, we will be making statements that are not historical facts. These are forward-looking statements that are based on current expectations and assumptions that are subject to risks and uncertainties. A number of important factors could cause the company's actual future results and other future circumstances to differ materially from those expressed in any forward-looking statements, including the factors discussed in the risk factors section of our SEC filings, including our 2016 Annual Report on Form 10-K which is on file with the SEC and as indicated on the slide that is showing. The forward-looking statements in this presentation are based on information available to the company as of the date of this presentation, and while we believe them to be true, they ultimately may prove to be incorrect. The company undertakes no obligation to release publicly any revisions to any forward-looking statement to reflect events or circumstances after today, May 5, 2016. Unless otherwise indicated, our speakers will be referencing non-GAAP measures, which exclude the impact of the change in deferred net revenues and related cost of sales with respect of certain of our online enabled games, expenses related to stock based compensation, the amortization of intangible assets, expenses including legal fees, costs, expenses and accruals related to acquisitions, including the acquisition of King Digital Entertainment, the related debt financings, and the associated tax benefit. Please refer to our earnings release, which is posted on www.activisonblizzard.com for a full GAAP to non-GAAP reconciliation and further explanation. There's also a PowerPoint overview which you can access with the webcast and which will be posted to the website following the call. In addition, we will also be posting a financial overview highlighting both GAAP and non-GAAP results and a one-page summary sheet. And now I'd like to introduce our CEO, Bobby Kotick.
Robert A. Kotick - President, Chief Executive Officer & Director: Thank you, Amrita. And thank you all for joining us this afternoon. This year the global market for interactive entertainment is expected to reach $94 billion. With more than $6 billion of revenues forecasted for this year, Activision Blizzard is clearly the world's most successful standalone interactive entertainment company, yet we only have a 7% participation. These forecasts don't really contemplate the growth in eSports or the introduction of advertising into games and they certainly don't contemplate the introduction of prize and cash play into games, all of which are emerging and potentially significant opportunities for the company. eSports has unique meaning to our audiences. Frank Pearce, one of the founders of Blizzard captured what makes our games and the organized competitions we host so special to our players. He said our players feel a unique sense of belonging from their engagement with our content. Their social experiences are shaped by the communities they're a part of, and the investments our players make in our games is rewarded by being part of a community that celebrates their play and recognizes their accomplishments. Our audiences spent 42 billion hours playing and watching our games in the past 12 months, similar to the number of hours people spent watching Netflix, and greater than the number of hours people consumed video on Facebook. But because these are principally social and truly interactive experiences, the commitment to our franchises is deeper and much more personal than other forms of entertainment. One special example is that of a high schooler whose father was deployed in Afghanistan. The son and the father stayed connected by regularly playing World of Warcraft throughout his deployment. The shared experiences and high engagement required to play our games creates a unique bond and a special sense of belonging for the players. A great multigenerational example is an 84-year-old grandfather who, for 10 years now, has played WoW with both his son and grandson. And another example of a life-changing experience is our most recent Heroes of the Dorm competition. The result changed the lives of five players when they won the collegiate championships and had their college tuitions entirely paid for. There isn't any other form of entertainment that generates the passion, engagement, and commitment that game players experience and we're at the very beginning stages of providing opportunities to celebrate and reward our audience commitment. This year, our franchises will provide over $10 million in prize money for players and shout-casters and commentators are earning real revenues and yet we're barely in the first inning of opportunity for games as organized sport. Today, collectively, eSports' viewer-ship is greater than the individual audiences for NHL, Major League Baseball or the NBA. In the future, Call of Duty, Hearthstone and Overwatch could each have audiences in excess of any of the most well-known sports leagues. Advertising and subscription revenues for eSports events are dwarfed by major league sports and yet the passion of a Call of Duty player is no less than the passion of the most ardent NFL fan. My friend, Robert Kraft, the owner of the New England Patriots paid a little less than $180 million for the Patriots in the early 1990s and he told me it was the best investment he ever made. 15 to 20 years from now, pro-team owners of our major franchises will likely be sharing similar sentiments. Our network itself has over 0.5 billion users each month. Only Facebook, YouTube and WeChat have bigger audiences, and we continue to transform our business to franchise focused, frequent content delivered directly to our 0.5 billion audience members in 196 countries around the world. Value is delivered through a variety of player investment models, all providing flexibility to our audiences, and as we introduce new player investment opportunities like advertising, and we start seeing our eSports events command their fair share of broadcasting revenues, our players will have their efforts recognized and their achievement rewarded and their sense of belonging to their communities will only deepen. Because of our uniquely talented 9,000 employees around the world, we're better positioned than any other entertainment company to take advantage of the sizable opportunities ahead. Our challenge, the challenge of prosperity, is the prioritization of these many opportunities and our 25 years of disciplined careful execution is what will enable us to pursue these opportunities with success as we have for 25 years. Since I joined the company, I haven't felt more excitement for our prospects and now Thomas will discuss the key drivers of our overall performance at our operating units and Dennis will review our financial results. Thomas?
Thomas Tippl - Chief Operating Officer: Thank you, Bobby, and good afternoon, everyone. 2016 is off to a great start. We over-performed our plan for the first quarter, delivered year-over-year growth, achieved record digital revenues and raised our full year guidance. These results are driven by focus and execution against our three strategic pillars. First, expanding our audiences; second, deepening engagement; and third, providing opportunities for more player investments. Let's start with our progress in growing our audience reach which grew to 544 million monthly active players this quarter. With the close of the King acquisition, we massively expanded our audience reach. King brought a diverse network of 463 million global players to the Activision Blizzard family. The acquisition also provides us with significant audience expansion opportunities going forward, as mobile is the fastest-growing platform and has the greatest global reach. The team at King continues to execute with excellence, as they grew monthly active users 3% over a large base last quarter. King's growth was driven by the release of Candy Crush Jelly Saga, which became a top 10 grossing game on the iPhone in the U.S. and Google Play worldwide. This, combined with continued strong performance of the first two Candy Crush games, which are regularly updated with new content, features and live ops, returned the Candy Crush franchise to sequential growth. This further demonstrates that continued investment in innovation of existing franchises drives longevity. We have also seen strong organic audience expansion in the Activision and Blizzard businesses. Both divisions set new all-time records with quarterly MAUs up 10% year-over-year for Activision and 23% for Blizzard. Activision's audience expansion was driven by Call of Duty, which, on the back of high-quality DLC, set the new franchise record for MAUs in the quarter, impressively growing its MAUs to exceed that of the holiday quarter. With the number-one title on both next-gen platforms live to-date and with two other titles in the top-10 list, Call of Duty is the preferred choice on next-gen. In fact, about 85% of all PS4 buyers in North America this quarter opted for the Black Ops III Bundle, an amazing statistic which bodes well for the franchises' engagement and in-game play investment continued to expand rapidly. On top of the Black Ops III momentum, Activision plans to build upon the community with an innovative new release this holiday, Call of Duty: Infinite Warfare, expected to launch November 4. This is the first three-year development cycle for award-winning studio, Infinity Ward, and they have been taking full advantage. With Infinite Warfare, they're redefining and building upon a classic war story that takes place in a bold new setting, which includes what happens when space becomes militarized. We can't wait to share more with you, including a hands-on experience later this year. Activision also revealed Infinite Warfare Legacy and Digital Deluxe Editions, which includes Call of Duty: Modern Warfare Remastered. Activision is thrilled to fulfill the Call of Duty community's passionate request by re-mastering with great care one of the most beloved games of all time for this console generation. Not only do these additions represent an incredible value, but they also represent the largest content offering we have ever provided, filled with both innovative new experiences and classic Call gameplay in one great package, which will appeal to a wide audience. Blizzard's 23% MAU growth was driven by the continued success of Hearthstone, which recently surpassed the 50 million registered player milestone. This is a testament not only to how awesome the game is, but also to its accessibility on multiple platforms as well as Blizzard's ability to deliver a regular pace of content updates. Hearthstone has had six major releases since the game's launch just over two years ago. And the next major initiative to expand Blizzard's audience is just around the corner with the upcoming launch of the highly anticipated new IP, Overwatch. On May 24, Blizzard will enter the largest drawn-in (12:17) gaming with this very compelling and innovative team-based shooter. Overwatch will not only serve Blizzard's current loyal community, but also introduce Blizzard's signature high-quality experience to a whole new audience. The open beta, which just started last night, is off to a terrific start with millions of people playing already and the player feedback has been exceptional. We expect Overwatch to be Blizzard's biggest launch since Diablo in 2012. We also believe Overwatch will resonate well in eSports, which provides yet another vector for audience expansion. In fact, eSports is not only a driver of audience expansion, but also importantly drives growth in terms of time spent with our franchises. So let's talk about the progress we made on our second strategic pillar, deepening engagement. As a result of our creative teams providing outstanding gameplay and frequent content updates, we were rewarded with players spending more than 10 billion hours playing our games during the first quarter. Over the last 12 months, players spent about 42 billion hours playing and watching our games. This level of engagement is in line with Netflix 2015 viewership of 42.5 billion hours, higher than Facebook's video consumption of about 37 billion hours annually, and more than four times the national viewership of professional U.S. sports leagues, including the NFL, NBA, MLB, NHL, and MLS combined. The secular trends we are seeing are going to further expand our advantage. Viewership of those traditional sports leagues increased only 2% last year, while player and viewer time spent with Activision and Blizzard games increased nearly 20% last year. We are confident that we can further build on this momentum as we expand our ability to deliver more frequent and meaningful content updates on our core franchises and provide new ways for our audiences to engage with our franchises. On this note, last week's release of Hearthstone third expansion card set, Whispers of the Old Gods, is off to a great start with record daily active users and record hours played by daily active user. In addition to what I already mentioned, our content pipeline includes new expansions for World of Warcraft and for the Destiny Universe in the second half of the year which will drive reengagement across their vibrant communities. With World of Warcraft's next expansion, Legion, which will release on August 30, players will not only be able to dive into the new zones, quests, dungeons and raids that they expect but will also gain access to features that deepen and expand engagement post launch of the expansion. There will be ongoing social interactions in order halls, customizationable Artifact weapons and new character class and a revamped player-versus-player system. Players that have been away from World of Warcraft will be able to jump right into Legion content with an included boost to level 100. Before the expansion though, the whole world will get to experience the epic orcs versus humans conflict on big screens with the release of the Warcraft film produced by Legendary Pictures. It's an exciting time for players to dive even deeper into the game to come back to World of Warcraft or to try it for the first time. Destiny's loyal passionate community also remains highly engaged. Bungie has released over 40 updates since launch in an effort to continually improve the game which has helped attract new players and keeps them coming back. The game now has nearly 30 million registered players who have averaged over 100 hours of game time each. In April, Bungie released an update to the game which was well received by players and drove strong reengagement. We also successfully introduced a new loot box future which had a double-digit attach rate. Later this year Activision and Bungie plan to launch a large new expansion for the Destiny Universe which you will hear more about in the coming months. Beyond new content, we're also driving increased engagement with our eSports initiatives which are making great progress. Since the beginning of the year, we have delivered millions of hours of audience engagement with our marquee eSports events. Specifically on Call of Duty, Activision concluded the stage one finals of the Call of Duty World League and will host the Call of Duty championship presented by PlayStation 4 this fall where teams are competing for a $3 million prize pool. You will soon hear more about the Call of Duty championships this year and the amazing player celebrations we are putting together. Also Call of Duty is partnering with MLG on a number of fronts. MLG's sanctioning systems now govern the Call of Duty World League. MLG will produce the first event this summer and we are making strides inside the game with MLG's live event video viewer now embedded. Blizzard is also expanding engagement this year through its biggest eSports calendar ever including the second year of the Heroes of the Dorm collegiate tournament which ESPN again aired during prime time. The ESPN's audience was up 17% versus 2015. Additionally, BlizzCon 2016 was announced for November 4 and 5, and once again thousands of tickets sold out within minutes of going on sale. The annual celebration Anaheim will bring passionate players from around the world together to compete and to celebrate all things Blizzard. Finally, eSports is not only helping us grow our franchises but also developing as a business opportunity. Our Media Networks division held an event for Valve's Counter-Strike: GO Major at the end of the quarter and delivered 45 million hours of viewership which ranks amongst the top eSports events ever. It's a six-day celebration of players and teams. It was notably a profitable event for MLG on a standalone P&L basis, including ticketing, merchandising, broadcast rights, advertising sponsorship and MTX revenues. We've extended our partnership with WoW based on the success of this event. Advertisers will hear more about the plans from Media Networks at next week's Digital NewFronts in New York. Now turning to the third pillar of our strategy, providing increased opportunities for player investment. During the March quarter, revenues from in-game content reached over $620 million, an increase of 20% year-over-year from the base Activision and Blizzard businesses and up 80% with the inclusion of King's top quarter results. Growth in this area has been broad based. King's metrics improved quarter-over-quarter in terms of the number of monthly unique payers and gross bookings per paying player, as well as overall gross bookings. King is doing a great job implementing live ops, as well as fresh content across their games. These updates serve to drive engagement and provide value-added services to the players. On the Activision business, Call of Duty is setting new records for follow-on digital content sales. Season Pass attach rates are at all-time highs and the number of players who choose to purchase in-game content more than doubled while maintaining average revenue per paying user. Most importantly, engagement with the game is stronger than ever. And within the Blizzard business, Hearthstone delivered 20% revenue growth year-over-year by growing audience reach engagement and providing more opportunities for players to invest in the game. This performance across the businesses again shows that increased player investment and deeper engagement are a virtuous cycle when executed well. So in summary, Q1 was a great start to the year and confirmed that our execution against our strategic pillars is paying off. And with that, I will now turn it over to Dennis to talk us through the details of the financials.
Dennis M. Durkin - Chief Financial Officer: Thanks, Thomas. Good afternoon, everyone. Today, I will review our better than expected Q1 financial results, our outlook for Q2 and our increased outlook for 2016. Q1 was a great start to the year that included the close of the King transaction and strong trends in our year-round franchises. We over performed our non-GAAP February guidance by $108 million on revenue and $0.12 on EPS. Our results grew year-over-year by 29%, or $205 million on non-GAAP revenues, and by 44% or $0.07 on EPS. This increase is largely due to the inclusion of King in our results, since the closing date of the acquisition, February 23rd. Excluding King, non-GAAP revenues and EPS were relatively flat to Q1 of last year. Reflecting on some highlights by segment, Activision exceeded plans and last year's results on revenues and profit, with record Q1 digital revenues that were up 54% year-over-year. Activision also continued its next-gen leadership with four of the top 10 titles on PS4 and Xbox One life-to-date, including the number one spot with Call of Duty: Black Ops III, which, as Thomas mentioned, accelerated user engagement in Q1. This outstanding Call of Duty performance was partially offset by continued weakness in the toy select market. As expected, Blizzard's Q1 was relatively quiet and consistent with expectations as the team prepares for the onslaught of upcoming content for its fans. But starting this quarter, Blizzard entered into what may be the busiest stretch of releases in their history with activity across franchises, genres, platforms and linear media to appeal to Blizzard's current community while attracting new and lapsed players. In Q1, we also completed the successful integration with King and the team did not skip a beat. They continued to stay focused and execute through the closing of the transaction and once again had at least three of the top 15 grossing games on both the Apple App Store and Google Play store in the U.S. for the ninth consecutive quarter. Importantly, the King business grew quarter-over-quarter in both engagement and gross bookings. Turning to our financial results, please refer to our earnings release for a full non-GAAP to GAAP reconciliations. Also the numbers I'll be quoting are compared to the prior year, unless otherwise noted. For the quarter on a GAAP basis, we generated revenues of $1.46 billion, up 14% year-over-year, an operating margin of 32% and EPS of $0.45. As we said on our February call, our GAAP earnings are expected to be down in 2016 versus prior year, as our expected results will be impacted by additional accounting charges associated with the King transaction which include, among other things, transaction-related costs and the amortization of intangibles resulting from purchase price accounting adjustments. The majority of these GAAP accounting charges will not impact the economics of our business or our cash flows, although they will have a material impact on our 2016 GAAP results. For the quarter on a non-GAAP basis, we generated revenues of $908 million, an operating margin of 28% and EPS of $0.23. On a non-GAAP basis, digital revenues in Q1 grew 48% year-over-year to a quarterly record. These increases were due to the inclusion of King in our results in Q1 of 2016, as well as the higher performance of Activision's Call of Duty and Blizzard's Hearthstone year-over-year. Of the $0.12 in non-GAAP EPS over performance versus guidance, about $0.07 was related to timing, about $0.03 was related to strong franchise momentum and the earlier King close, and about $0.02 was related to one-time tax benefit. Please note that when you look at the segment results, King's Q1 financials are not directly comparable with their previously reported quarters. Among other things, we have adjusted King's compensation plan from an equity-based program to a cash-based profit-sharing plan and we've also allocated corporate overhead to the group, as we do with our other divisions. Both of these changes are value-neutral to the company. Controlling for those factors in comparing their full quarter results, in addition to gross bookings and engagement, King's overall revenues and operating income were up quarter-over-quarter. Turning to the specific P&L items. Please note that all percentages are based on revenues except for the tax rate. For Q1, GAAP product costs were 21%, operating expenses were 47%, interest expense was $52 million and our GAAP tax rate was 18%. Our GAAP and non-GAAP fully diluted weighted average share count was 750 million, including participating securities. On a non-GAAP basis for the quarter, product costs were 24%, operating expenses were 48% and our adjusted EBITDA margin was 31%. Interest expense was $51 million. Our non-GAAP tax rate was 14%. As mentioned, this tax rate was as a result of one-time discrete benefits. In terms of cash flow, in Q1 we generated strong cash flow, with non-GAAP adjusted EBITDA of $277 million, up 24% year-over-year, operating cash flow of $309 million, up 48% year-over-year and free cash flow of $282 million after CapEx, up 50% year-over-year. Turning to the balance sheet. We closed the King transaction in February for approximately $5.8 billion, which was funded with $3.5 billion in cash held internationally and $2.3 billion of cash from new debt. The enterprise value was $4.7 billion after factoring in the $1.15 (sic) [$1.15 billion] (25:23) of cash that came along with King, or about 6 times King's 2015 EBITDA. Directly following the transaction, we also paid down a net $500 million of our outstanding debt balance, which ended the quarter at $5.92 billion in aggregate. As mentioned on our last call, we are authorized to pay down an additional $1 billion of debt this year. As of March 31, we had approximately $2.91 billion in cash and investments, of which roughly half was held internationally. On the dividend front, next week, on May 11, we plan to pay a $0.26 per share cash dividend, or approximately $192 million in aggregate, to shareholders of record as of March 30, 2016. So in summary, Q1 was a very strong start to the year for the company and sets us up well for the coming quarters ahead. Now let's turn to our slate and our outlook for Q2 and the balance of 2016. Our Q2 slate includes Call of Duty second map pack and Hearthstone's latest expansion, Whispers of the Old Gods, which released last week. And on May 24, Blizzard plans to release its newest IP, Overwatch. We also plan to continue to release new content and updates across our portfolio to keep our players engaged while, at the same time, beginning the ramp in sales and marketing spending for our major releases later this year. For Q2 on a GAAP basis, we expect net revenues of $1.425 billion, product costs of 24% and operating expenses of 65%. We expect GAAP interest expense of $62 million, a GAAP and non-GAAP tax rate of 23%, a GAAP and non-GAAP share count of 755 million and EPS of $0.10. For Q2 on a non-GAAP basis, we expect revenues of $1.375 billion, product costs of 23% and operating expenses of 46%. We expect a non-GAAP interest expense of $60 million and non-GAAP EPS of $0.38. In the back half of the year, Blizzard plans to release World of Warcraft's next highly anticipated expansion, Legion. Activision plans to release two more map packs for Call of Duty, a large expansion for Destiny and new releases in Q4 for Skylanders and Call of Duty. King plans to release two non-Candy Crush franchise games this year, one this summer and another later this year. Now to our 2016 full year numbers. On a GAAP basis, we expect revenues of $6.13 billion, product costs of 25% and operating expenses of 60%. Our GAAP interest expense is expected to be $243 million. Our GAAP and non-GAAP tax rate is expected to be 24%, 1 point better than our February guidance. We expect 765 million fully diluted shares, both for GAAP and non-GAAP, and EPS for GAAP is expected to be $0.69. For 2016 on a non-GAAP basis, we expect revenues of $6.275 billion, an increase of $25 million versus our February guidance, product costs of 24%, operating expenses of 44% and an operating margin of 32%. Our non-GAAP interest expense is expected to be $235 million. Though it's still early in the year and nearly all of our major launches are still in front of us, we are raising our full year outlook by $0.03 on EPS to $1.78 related to business performance and tax benefits. In summary, Q1 was an incredibly productive quarter for the company and a great start for the year. With the closing of the King acquisition, we now have global leadership across major gaming platforms and one of the largest interactive entertainment networks on the planet. Our franchised focus has delivered growing audience reach, deepening player engagement, and more player investments than ever before. In addition, the tailwind in emerging areas like eSports provides compelling option value going forward. As a team, we couldn't be more excited about the large opportunities for growth that we have ahead of us. Now I will welcome our business leaders, Eric, Mike, and Riccardo, as they join us for the Q&A portion of the call. Operator?
Operator: Thank you. We'll go first to Neil Doshi with Mizuho.
Neil A. Doshi - Mizuho Securities USA, Inc.: Great. Thanks, guys. A quick question on Overwatch. It seems like the beta has been quite successful. Just wondering how we should think about units for the quarter when it's released and then as well as for the year. It seems like there's a much bigger audience than there is for Diablo, so any thoughts or color on that front would be very helpful. Thanks.
Dennis M. Durkin - Chief Financial Officer: Well, we're very excited about the open beta, so we're less than 24 hours in but the game is now live and freely accessible to players around the world including China. We've already seen millions of players try out the game in open beta. The feedback has been extremely positive. This is our first global simultaneous multiplatform launch and so we're on PS4, Xbox, PC across all of our regions. We don't project out specific unit numbers but like Thomas mentioned, we do expect this to be our biggest launch since Diablo 3 which was heavily anticipated and the Diablo franchise was something that has been loved for many years. This is a brand-new IP. We're doing a ton to expose players to the richness of this world that we've created but it is a new IP in a very popular genre.
Neil A. Doshi - Mizuho Securities USA, Inc.: Great. Thanks.
Operator: We'll go next to Chris Merwin with Barclays.
Christopher David Merwin - Barclays Capital, Inc.: Hi. Great. Thank you. So now that the King acquisition is closed, I was wondering if you could just update us on the strategic plans for King. At what point does King start to plan for the development of some of Activision's IP and maybe given the size of King's user base does it make sense to integrate some third-party advertising into the mix? And if so, what would the ramp look like there? Thanks.
Riccardo Zacconi - Chief Executive Officer & Executive Director, King Digital Entertainment Plc: Hi, Chris. It's Riccardo here. First of all, it's nice to talk to you again and thank you for the question. So before I answer the first part of your question on the strategic plans, as part of Activision Blizzard, I would like to highlight that the integration went extremely smoothly and it's effectively complete. King has been part of the Activision business family as you know now for two months and we have retained our key talents and have remained focused on driving the business and executing on our existing plan. As you have heard in Q1, we had delivered both top line and profit growth by growing our player and payer networks as well as the investment per player. We're first of all focused on executing on our strategy and we have a strong pipeline across our franchises and we're working on new titles within these franchises. We're also developing additional new IPs within our studios. In addition to developing the new titles, we're also continuing to invest in our existing franchise games with new content, new features, and with live ops. Live ops as a brief reminder are the time-limited events. And all of this content is driving engagement, retention, and investment per player. Now as part of the Activision business family, beyond existing plans, we have now new opportunities to create even greater games for our massive player network by combining Activision Blizzard's top-performing IPs on console and PC with our mobile expertise. The deal, as you know, closed two months ago and we have started conversations with both Activision and Blizzard to explore those opportunities. In regard to the second part of your question regarding advertising, I want to say that first and foremost we are focused on retaining our players and we are focused on providing a great player experience and we will not compromise on this point. That said, given our massive network, we do believe that advertising could be a meaningful revenue stream for King in the long term. We have 463 million monthly active users, and with that it's one of the largest untapped audiences for advertisers in the world. But it's early days and we've just begun experimenting with that in two of our games, so we do not expect any impact to this year's results from ad sales.
Christopher David Merwin - Barclays Capital, Inc.: Thanks, Riccardo.
Operator: We'll go next to Doug Creutz with Cowen and Company.
Douglas L. Creutz - Cowen and Company: Thanks. You mentioned on the call that you got some good re-engagement at Destiny around the April update, I just wonder if you could maybe kind of size how engagement is trending relative to the peak you hit back in September around The Taken King launch? Thanks.
Eric Hirshberg - Chief Executive Officer of Activision, Activision Blizzard, Inc.: Hey, Doug. It's Eric. So Destiny has nearly 30 million registered players now and our April content successfully reengaged the community and was very well received. We think engagement has remained remarkably strong, even after the release of some competitive games in this genre. But it's clear that our fans are hungry for more content than we've been able to create and that passion and loyalty from our fans is something that we don't take for granted, which is why we're working side-by-side with Bungie to make sure that in the future, we're able to deliver a more consistent stream of great content and drive even more engagement.
Douglas L. Creutz - Cowen and Company: Great. Thanks.
Operator: We'll go next to Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Thank you very much. A question for Mike regarding Hearthstone. Mike, so users are now, you said, they are at 50 million. I think it's up from about 40 million players in November, so big increase there. Can you talk about user monetization trends for the game, and are the newest players spending as much, less or more than those that have been playing longer?
Michael Morhaime - Chief Executive Officer of Blizzard Entertainment, Activision Blizzard, Inc.: We don't publicly discuss specific monetization trends, but we're very happy with the continued strong performance we're seeing from Hearthstone. As Thomas mentioned, we are very excited that engagement both in terms of daily players and hours per player rose with the Old Gods' launch. Hearthstone revenues were also up 20% year-over-year in the first quarter, so in general we're very pleased.
Eric O. Handler - MKM Partners LLC: Thanks.
Operator: We'll go next to Arvind Bhatia with CRT Capital.
Arvind Bhatia - CRT Capital Group LLC: Great. Thank you. Congratulations on another good quarter. I've got a two part question, first, if you could maybe touch a little bit more on the Call of Duty: Black Ops III expansion pack's performance year-over-year? And also maybe talk about the Infinite Warfare, the trailer and some of the YouTube dislike that it's getting. What do you make of that?
Eric Hirshberg - Chief Executive Officer of Activision, Activision Blizzard, Inc.: Thanks, Arvind. It's Eric. Black Ops III is performing very well, but before I address our digital performance specifically, I think it's important to take a step back and first talk about overall engagement. We've made a great game that our fans love and that's demonstrated by the fact that our monthly active users are at all-time highs. And as a result of that, our digital business is also operating at Q1 all-time highs and is up significantly year-over-year. Season Pass is at an all-time high and, in fact, we expect to deliver the most map packs ever to players with Black Ops III. So the most important thing for us is that we're delivering all this performance, while seeing record engagement with the game. On the second part of your question related to Infinite Warfare, first of all you got to love the passion of gamers, this is an industry like no other, and a fan base like no other and we love that our fans treat this franchise like it's their own and have such strong points of view about it. There just aren't many entertainment franchises on Earth that can generate the kind of passion that Call of Duty can and that's a good thing. Secondly, of course we know that there are people in our community who are nostalgic for the boots on the ground style gameplay, and that's why we made Modern Warfare Remastered. But we also have millions of people in our community who want to have new innovative experiences in the game each year and Infinite Warfare is going to deliver that. And the good news is this year we found a way to deliver both in one package while keeping our community together. And while of course we see the passionate opinions online, we also look at other measurements. And the fact is, while it's very early, preorders are off to a very strong start. Views of the reveal trailer that you referred to are up and, in fact, the number of likes per view on the Infinite Warfare reveal trailer are also the highest we've ever seen. We've seen this in the franchise before. The reveal trailer for Black Ops II, which took the franchise into the future for the first time, had the most dislikes of any reveal trailer we had ever made at that time. And that, of course, went on to become our most successful game ever. And right now, the franchise has never been stronger. We have more people playing Black Ops III, a game that takes place in the future with boost jumps and fictitious weapons and all the rest, than any game in our history. So what we know for sure is that if we always just did what worked in the past and never took any creative risks, we wouldn't have a franchise. The day to worry is the day we stop trying new things.
Arvind Bhatia - CRT Capital Group LLC: Very helpful. Thank you.
Operator: We'll go next to Brian Pitz with Jefferies.
Brian J. Pitz - Jefferies LLC: Thanks. A question on Overwatch marketing. Maybe you could discuss how you build Overwatch into a true trans-media franchise including the types of media, such as eSports, movies, cartoons, comic books, et cetera, as well as merchandising opportunities we might see over time if the game is successful. And basically is it fair to compare it to, say, you're building essentially your own version of the Marvel Universe here? Thanks.
Michael Morhaime - Chief Executive Officer of Blizzard Entertainment, Activision Blizzard, Inc.: Thanks for the question. I think it's a great question. We see a ton of opportunity here. We put a lot of work into creating a game universe with awesome characters and a deep backstory. We think there's a big opportunity for Overwatch to thrive across all sorts of media. The game itself is vibrant and rich with personality. We've seen an overwhelming positive response to our animated shorts and comics and we're working on more of those. We think that there's a lot of potential to go even further in the future. When it comes to eSports, we feel Overwatch has huge potential. We put a lot of focus on the viewing experience and making sure the action is fun to watch. We designed the game with eSports in mind and we have big plans in this area, which we'll talk more about later this year.
Brian J. Pitz - Jefferies LLC: Thanks, Mike.
Operator: We'll go next to Colin Sebastian with Robert Baird.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Thanks. I guess as a follow-up to an earlier question on the mobile business in King, hope you can talk in a little more detail about Jelly Saga's performance since launch in terms of usage and monetization and then also how you view the prospects for the performance of the Candy Crush franchise as a whole through the balance of the year, especially as we consider promotion across the network. Thank you.
Riccardo Zacconi - Chief Executive Officer & Executive Director, King Digital Entertainment Plc: Hi, Colin. It's Riccardo. Thanks for the question, first of all. The overall Candy Crush franchise is very healthy. It continues to produce strong performance, growing sequentially in Q1, as you have seen. And this validates our franchise-focused strategy. We continue to execute on our four-pronged approach to creating enduring franchises by, number one, adding new content, implementing live ops, delivering extensions in our existing games as well as offering players new sister or sequel titles. This approach has led to continued strong performance by the Candy Crush franchise. In fact, the original game, the Candy Crush Saga, is already four years old and it continues to lead the casual game category and was the number three top grossing game in the U.S. in Q1. In regards to your question on Candy Crush Jelly Saga, we launched the game in January of this year and it's a sister title to Candy Crush Saga. It has the same star ratings as Candy Crush Saga and our players are clearly enjoying the game. It's our third largest title and a top 10 grossing game in the U.S. on iPhone and it's also a worldwide top 10 grossing game on Google Play. The game brought new players to King's network in Q1 and has returned the franchise to growth. When you look across the entire franchise, all three Candy Crush titles were top 15 grossing games in the U.S. in Q1, which demonstrates the longevity and strength of the brand. So we believe we have an enduring franchise with Candy Crush and we are executing to keep innovating for our players.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. And maybe I could sneak in another follow-up around eSports, more specifically around monetization in eSports longer-term beyond the loyalty and improving the brand Halo around certain titles. Thank you.
Robert A. Kotick - President, Chief Executive Officer & Director: Our first priority has been the opportunity to celebrate our players. And when you think about the commitment that our players make to our games, by providing them with the recognition, the organized competitive experiences, highlighting their accomplishments, being able to provide higher levels of prize play than we ever have, these are all in the service of enhancing engagement and building value in the equity of our properties. I think when you look at the untapped opportunities though that enable you to do a lot of those things, we have this very virtuous cycle. People pay to participate, sponsors are willing to finance events, those events then become the content that is broadcast on our network or on other networks, those events then lead to having the ability to have regional events, national events, international events; all of these things have the opportunity for us to expand broadcast rights, licensing and merchandising, ticket sales, local sponsorships, national sponsorships, and these are all things that we're very actively engaged in, not to mention all the opportunities to sell our professional teams for our professional leagues. And so over the long term, we view this as a tremendous opportunity to both celebrate our players and to create a lot of value for our shareholders.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Thanks, Bobby.
Operator: That was our final question. So at this time, I'll turn the call over to Dennis Durkin for any additional or closing remarks.
Dennis M. Durkin - Chief Financial Officer: All right. Thank you, everyone. We appreciate your dialing in and participating on this call and we look forward to seeing you on next quarter's call in early August. Thank you.
Operator: That does conclude today's conference. We thank you for your participation.